Operator: Good evening, and welcome to the Nano Dimension Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Purva Sanariya, Director of Investor Relations. Please go ahead, ma'am.
Purva Sanariya: Thank you, and good evening, everyone. Welcome to Nano Dimension's second quarter 2025 earnings conference call. Joining me today are our new CEO, Dave Stehlin; and our CFO, Assaf Zipori. [ John Brenton, ] our VP of Finance, will also be joining us for the Q&A session. Before we begin, I will remind you that certain information provided on this call may contain forward-looking statements. Forward-looking statements are not guarantees and involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. The safe harbor statement outlined in today's earnings press release also pertains to statements made on this call. If you have not received a copy of the press release, please view it in the Investor Relations section of the company's website. A replay of today's call will also be available on the Investor Relations section of the company's website. With that, I will turn the call over to Dave.
David Stehlin: Thank you, Purva. Purva recently joined as Director of Investor Relations here at Nano, and will be a primary contact for you going forward. Good evening, everyone, and I thank you for joining us today. As you may have read, I joined Nano Dimension last week as the new CEO. While I've been on the Board of Directors since February of this year, I'm excited to take on this role as we work to unlock shareholder value and further strengthen the leadership position the company has earned. Because I'm new, I'd like to share a bit about my background. I've held leadership positions in technology-focused companies for well over 30 years, including as CEO of a publicly traded multinational company MRV Communications and as CEO of 2 venture-backed companies operating in high-growth technology markets. Over the course of my career, I've led multiple mergers and acquisitions and complex integrations and my focus has always been on delivering results, executing strategic plans and maintaining and building transparency. I was drawn to this role because I see a company with a strong balance sheet, excellent technology and products and alignment with the needs of critical and forward-leaning industries such as aerospace and defense, automotive and industrial automation all in the era of manufacturing 4.0. I'm confident that together with the team, I can help unlock the value the company has to offer. With that, let's dive in. We've made significant progress toward our goals since our last earnings call. The current Board, all of whom have joined since last December, have taken the necessary actions to understand our situation, reshape the business and create a more valuable enterprise. As we recently shared and in line with our commitment to maximize shareholder value, the Board has initiated a formal process to explore and evaluate a comprehensive range of strategic alternatives. This is a deliberate and disciplined step to ensure all options are considered to unlock the full potential of the business. To support this process, we've engaged with Guggenheim Securities and Houlihan Lokey as our financial advisers. These world-class firms provide complementary expertise and global perspectives, enabling us to conduct a thorough and disciplined evaluation of our strategic alternatives. We're confident their guidance will support a rigorous process, and we will provide updates when key actions have been taken. I would now like to provide an update on Desktop Metal, and I want to be transparent about the financial impact. Following the acquisition of Desktop Metal, the group of assets was classified as assets held for sale as of the acquisition date, April 2nd. This resulted in a noncash impairment of $139.4 million and a loss from its operation of $30.4 million during the quarter, both of which are included within net loss from discontinued operations. As announced on July 28, following a comprehensive review by Desktop Metal's independent Board to address the significant liabilities and liquidity needs, the company filed for Chapter 11 bankruptcy protection. We believe this removes a significant overhang on our business and provides a clearer path forward. Nano Dimension remains one of the best capitalized companies in its ecosystem and is focused on maintaining financial strength. I'm also pleased to report that our Markforged integration is progressing as planned. Since closing the acquisition on April 25th, our teams have been focused on identifying synergies and aligning operations. Markforged brings an exceptional team and highly respected products that serve critical applications for many leading companies. These efforts, together with our work to streamline our portfolio and sharpen our commercial focus, are helping us to build a more agile and scalable company, capable of delivering strong results over time. So where are we going? And if you're new to Nano Dimension, we are a digital manufacturing leader and a trusted supplier to industries, where performance is critical. We are advancing digital manufacturing through differentiated industrial hardware, software solutions and transformative materials. Our platforms provide customers with measurable gains in quality, efficiency creativity, speed to market and cost improvements, all while keeping security and ROI top of mind. This focus strengthens our customers' operations and positions us to capture long-term growth opportunities in expanding in strategic markets. While macroeconomic headwinds persist, particularly in industrial sectors, we're seeing positive momentum in regulated industries such as defense. For example, during the second quarter, we completed a critical defense order valued at approximately $3 million. This milestone demonstrates the effectiveness of our focus on forward-leading industries, and we expect to generate additional opportunities this year and beyond. Momentum is also building with global brands like Nestle, which recently shared its plans to expand its use of Markforged systems across multiple production sites in the U.K. This will allow them to manufacture more than 5% of their site inventory using 3D printing, demonstrating both the scalability of our platform and the tangible ROI our customers are realizing. Above all, we'll be committed to capital discipline. Every action, whether organic or inorganic, is guided by margin expansion, strategic clarity and value creation. We're encouraged by the momentum we're starting to see and are confident in the foundation we're building to scale intelligently, drive innovation and redefine advanced digital manufacturing. With that, I'll turn it over to Assaf to take you through our results.
Assaf Zipori: Thanks, Dave. Before I review our financial performance for the second quarter of 2025, I want to highlight that we've been proactively working through a comprehensive strategic review and the integration of Markforged. I'm also happy to share that we have transitioned our financial reporting from IFRS to U.S. GAAP. This move reinforces our commitment to the highest standards of financial transparency. Unless stated otherwise, all numbers I'll be discussing today are non-GAAP and reflect continuing operations. Desktop Metal is excluded from non-GAAP reporting as it is classified as discontinued operations. Now revenue for the quarter was $25.8 million, representing a year-over-year growth of approximately 72% compared to $15 million in the second quarter of 2024. This growth was driven primarily by Markforged, whose results have been consolidated since the April 25th acquisition and contributed $16.1 million in revenue. Excluding Markforged, revenue was $9.7 million for the quarter, down 35% year-over-year, reflecting strategic divestitures and macroeconomic headwinds, including high interest rates and lingering tariff pressures. Gross profit for the quarter was $11.6 million, with gross margin of approximately 44.7%. This reflects a decrease compared to the prior year's gross margin of 46.1%, driven by lower revenue volumes and product mix. GAAP gross margin decreased to 27.3% from 44.7% in the prior year primarily due to the amortization of the fair value step-up of acquired Markforged inventory. Operating expenses for the quarter were $28.2 million, higher than the prior year due to combined operations with Markforged. However, on a stand-alone basis, Nano Dimension's operating expenses decreased by over 24% year-over-year, reflecting the benefits of our focused efficiency initiatives and disciplined cost management. Adjusted EBITDA for the quarter was a loss of $16.7 million compared to a loss of $14.6 million last year, primarily due to the inclusion of Markforged. Turning to the balance sheet. Our financial position remains exceptionally strong. Total cash, cash equivalents and investable securities stood at $551 million at the quarter end, which includes approximately $16 million of Desktop Metal-related balance compared to $840 million at the end of the first quarter. The decrease primarily reflects the cash considerations paid for the acquisitions of Desktop Metal and Markforged, totaling approximately $179.3 million and $115.1 million, respectively. This substantial liquidity provides us with the flexibility to pursue strategic options from a position of strength. As of August 31st, our cash, cash equivalents and investable securities for Nano Dimension, including Markforged, totaled over $520 million. This does not include any amounts related to Desktop Metal. I will now hand it back to Dave.
David Stehlin: Thanks, Assaf. Nano Dimension offers a market-leading mix of products and solutions that address today's needs along with programs that have the potential to deliver significant value in the future. We are advancing digital manufacturing by delivering needed and innovative solutions to customers with precision, performance and flexibility. We're also building the capability to deliver these solutions at scale to address challenges that previously have been unsolved. We've taken deliberate and needed steps to strengthen our business strategically, operationally and financially. We've sharpened our focus on high-value technologies and opportunities, and we remain focused and disciplined in our capital allocation and continue to refine our strategy to build a strong foundation for growth. Our mission remains clear. We aim to lead the future of advanced digital manufacturing. With our differentiated technology platforms, our strong balance sheet and focused execution, we're positioned to create long-term value for our customers and our shareholders. I'm excited by the opportunities ahead, and I'm committed to executing our strategy with focused teamwork, discipline and transparency. Thank you, and we're now ready to take your questions.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Dave for any closing remarks. Please go ahead, sir.
David Stehlin: Thank you very much. And as I said, we're excited about where we're going. There's a lot of work to still be done. We've accomplished a lot and taken away a lot of roadblocks that have been in our path for the last quarter or 2, but excited very much about the market segments that we're focused on. So thank you for your time, and hope to speak to you again in the future. Good night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.